Operator: Good morning, my name is Brandy and I'll be your conference operator today. At this time, I would like to welcome everyone to Terex Corporation’s Fourth Quarter and Year End 2011 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to Ronald DeFeo, Chairman and CEO. Please go ahead sir.
Ronald DeFeo: Thank you, Brandy, and good morning, ladies and gentlemen. Thank you for your interest in Terex today. On the call with me this morning is Phil Widman, our Senior Vice President and Chief Financial Officer; Kevin O'Reilly, Vice President of Operational Finance; and Tom Gelston, Vice President of Investor Relations. And later then mentioning each one of our Presidents of our operating units, most of them are participating on the call and will be available for your questions following our remarks. As usual, a replay of this call will be archived on the Terex website, www.terex.com, under Audio Archives in the Investor Relations section. As usual I'll also begin with some of our commentary and highlights, Phil will follow with a more detailed financial report including some analysis of the improved performance achieved during the quarter as well as a few schedules that will help explain certain expenses in the period. Lastly, I'll review our outlook for 2012 including details on individual segment performance expectations as well as some insight into our overall thinking and our focus and strategy for the year. Following that as usual we'll open it up to your questions, we expect to enforce to one question and follow up a little. For this call we prepared a presentation to guide you through our commentary that is available to download from our website. Let me begin by referring to the forward-looking statement commentary on Page 2, I encourage you to read and review this, as well as all of our other disclosures available in our public documents. Let me begin by turning to Page 3. An overview perspective, we just completed our rather significant year in Terex's development. A year of both investment and improvement, investment in the high quality business of Demag Cranes now our material handling and port solution segment. This adds a first class business to our portfolio, improvements and real progress was made as we streamlined operations, reduced the manufacturing footprint and started generating meaning cash from earnings and working capital. The cost structure realignment is expected to improve profitability going forward, most notably within the cranes and construction segments. We've taken pricing actions to recapture margin loss in 2011 due to material cost pressures and to offset anticipated cost actions in 2012, most notably in Aerial Work Platforms and construction. The economic recovery is taking hold in many of our major markets with most markets healthier than a year ago. We do have some reservations about Europe, but the recovery in North America seemed solid. In 2011, we recaptured growth in our core businesses with organic growth of 27% for the full year and overall net sales growth of 48% inclusive of acquisitions. However, for Terex in 2012 emphasis is clearly on margin improvement, cash generation and the integration of Demag Cranes AG is much less of our growth. Now, I'd like to discuss the market environment by segment on Page 4. The Aerial Work Platform business continues to recover with North America leading the way. Business with the largest rental companies is strong and we're now seeing independent and smaller regional players buying again. Our European AWP business has been a little bit better than we expected. In general we've been successful implementing a 4.5% price increase effective with shipments in January. The overall backlog remains strong, double last year's level. The construction products market outlook is generally positive, but North American housing and road building markets will remain weak in 2012. We expect continued solid demand for our material handlers mainly for the scrap steel market. The demand outlook for our Artic and rigid truck business is expected to improve and the compact business is slowly getting better. In general, a solid market where we can concentrate on margin and cash generation. The global crane market will be stable to positive. China is hard to predict right now, North America will be up strongly and Europe is a mixed picture by country. Australia remains very positive and is the specialty market. Latin America will continue to be strong in 2012. The port equipment business that is captured underneath our crane category these products are strengthening although as you know, the sales gestation period for these products is quite long. We're happy to highlight that after starting 2011 off quite poorly in Terex Port equipment, we did exit the year with a profitable quarter as we had promised. For our new business the material handling and port solutions segment, the market environment is generally improving, but perhaps a bit softer than was previously thought particularly because of Europe. We do see improving trends in North America, India and the Middle East for port equipment and services. The domination in profit and loss transfer agreement that process continues in Germany. The vote at the Annual Shareholders Meeting on this will be in March. Lastly, our material processing business continues to supply large capacity machines worldwide most notably to Australia and South Africa, as small mining customers continue to look to our largest mobile equipment as a solutions provider for some of their needs. Our dealers are a bit more optimistic in general than a few months ago; finally we're excited about the many new products that this business will be introducing in 2012. Now, I'd like to turn it over to Phil to cover specific financial results and then I'll provide a more detailed review of our expectations for 2012 before taking your questions. Phil?
Phillip Widman: Thank you, Ron and good morning. Over the next several slides I'll cover the fourth quarter and full year performance with the continuing operations of the company. Please turn to Page 5 to discuss the fourth quarter. Our business continued to improve during the quarter reflecting the impact of restructuring and generally improving market conditions. Our adjusted earnings per share were $0.26 slightly better than our guidance for the period and this compared to an adjusted earnings per share loss of $0.20 in the fourth quarter of 2010. Reported US GAAP EPS was a loss of $0.03 compared to a loss of $0.30 in the prior year quarter. All segments reported that sales growth with the quarter compared to the fourth quarter of 2010, while order backlog although stable sequentially is accelerating our AWP business and pricing actions are sticking. We generated a $168 million in free cash flow during the quarter. Let's turn to Page 6, where I'll walk you through the fourth quarter of 2011 as adjusted and the full year of 2011 as adjusted in a little more detail showing the quarter-over-quarter and year-over-year movement. We chose to show the numbers as adjusted to better explain the underlying operational issues and opportunities in the business. We've reconciliation to US GAAP later in the presentation. Net sales increased 47% for the quarter and 48% for the full year when compared to the comparable period in the prior year. Excluding the impact of our acquisition of Demag Cranes AG on August 16th of 2011, the translation effect and the translation effect of foreign currency exchange rate changes, net sales increased 20% and 29% for the quarter and full year respectively. The increases included all segments when compared to prior year periods with our AWP business posting the strongest growth for the full year on both the percentage and dollar basis as wrap up companies continued to expand their fleet replacement purchases. Our cost structured improved during the year as we continued to take the necessary actions to line our business for the environment in which we operate while not loosing sight of our strategic vision. Our gross margin improved 340 and 220 basis points for the quarter and full year respectively. Increased volume, pricing actions and improved production absorption levels more than offset cost pressures from the supplier base. Facility counter amounts during the second half of 2011 are on schedule and we will see the full benefit of these actions as we head into 2012. Our SG&A as a percentage of sales as adjusted increased slightly over the prior year quarter mainly due to the inclusion of MHPS segment in the 2011 results. Excluding MHPS as a percent of SG&A to sales is improved by 200 basis point to 11.7%. For the full year, the high level of cost reduction activity resulted in an improvement of 190 basis points including MHPS and an improvement of 270 basis point excluding that. As a result of the above, adjusted EPS for the quarter was $0.26 and $0.46 for the full year representing a $0.46 and a $1.75 increase respectively over the comparable 2010 periods. From balance sheet perspective, net debt increased $734 million which primarily represents the impact of our acquisition of Demag Cranes AG partially offset by the sale of our shares in Bucyrus International during the year. Net working capital although falling short of our expectations on a dollar basis will continue to see positive results in the execution of our production planning activities improving the movement of inventory through to finance. At the end of December net working capital as a percentage of sales was 27.8% down from 31.3% in 2010, very close to our expectations for the fourth quarter. Backlog ended the year at $2.1 billion an increase of 65% over December 2010 levels. Excluding the impact of Demag Cranes AG backlog was up 29% drive by AWP up a 107%, construction up 75%, cranes down 7% with softer growth in crawler and all terrain cranes, material processing up 3% and MHPS although not, now year-over-year comparisons reported of very strong loaded bulk at the end of the year. Turning to Page 7 where we have displayed the reconciliation of the as reported US GAAP figures for Q4 2011 so they have adjusted results. As we had previously indicated the step up of the inventory related to the MHPS acquisition would be excluded from our guidance. We also continued to downsize and incurred cost for the reduction of personnel namely in our European cranes operations and construction and had a partial impairment of a cranes facility we had recently shutdown. The supplier quality campaigns refer to two instances related to certain of our installed base of scissor lifts and power cranes where we've initiated field programs related to supplier issues affecting 2010 shipments. Page 8 is the 2011 full year bridge of the as reported to the as adjusted. The main highlights here include the impact of the sale of the Bucyrus International shares contributing $0.97 per share which we backed out, the restructuring and related charges of $0.49 per share are mainly the result of significant activity in the crane segment to reduce cost in several operations. Acquisition related items are $0.50 per share includes a purchase accounting inventory valuation and other specific costs related to the acquisition of Demag Cranes AG and other items amounted to $0.05 per share. For complete breakdown of the adjusted items by segment and period refer to Pages 15 and 16 later in the presentation. With that I'll turn it back to Ron for a review of our outlook.
Ronald DeFeo: Thank you, Phil and let me continue by asking you to turn to Page 9, so I can review our outlook for 2012. We expect this year to be a positive year for Terex. Overall, net sales are expected to increase to 15% to 23% or be $7.5 billion to $8 billion including the impact of the full year ownership of MH&PS. As we'll explain in a minute, a substantial amount of this growth is coming from this new segment. The balance of the increased sales reflects the plan emphasis on margin expansion as well as currency translation pressure driven mostly by the euro dollar relationship. After we secure improved margins, the markets become more positive we'll better incrementals, so our first objective is margin improvement and cash generation and then if the markets are better we will participate in that growth. Gross margin expansion is expected to improve to roughly 20% from some benefits of the 2011 realignment activities, pricing actions and the inclusion of MH&PS segment. This is a substantial improvement from the adjusted 16% we achieved in 2011. SG&A is essentially flat with a slight increase being due to higher spending levels of the MH&PS segment offset by greater efficiencies in the Terex paint businesses as Phil indicated earlier. Operating profit is expected to be in the range of $475 million to $525 million or roughly 6.5% at the midpoint of this guidance range. This is about a $300 million improvement versus the 2011 adjusted performance. Longer term we continue to drive Terex toward a 10% operating margin target in two to three years depending upon the speed of the integration of the MH&PS segment. Interest expense is expected to be slightly higher than 2011 at a $145 million as financing that was put in place to complete the Demag Cranes acquisition outstanding for the full year. The net result as a range for EPS in 2012 of between a $1.65 and a $1.85 per share, a substantial improvement from the adjusted EPS in 2011 in other words a good step forward. Turning to Page 10, Kevin will present net sales on a segment basis, our expectations for AWP is for increased sales of approximately 10% due by continued replacement demand in North America. The construction is anticipating stable performance in terms of units and market presence. However, pricing is a substantial driver in our expectations. Cranes is expected to be stable at roughly $2 billion in net sales although there are different market expectations depending upon geography. North America and the developing markets will remain good growth markets while we expect Europe to be somewhat negative. I should also note that our European business is likely to see negative translation impacts from a weakening euro. MH&PS is targeted to achieve roughly $1.5 billion in net sales as overall trends remain positive and drive the overall business to a better 10% year-over-year. Lastly, the materials processing business expects continued strong performance in the mining markets of Australia, South East Asia and South Africa as well as improved pricing. So, in total this is how the $7.5 billion to $8 billion of net sales outlook is expected to develop by segment. Page 11 is a simple waterfall chart that bridges 2011 net sales of $6.5 billion to the midpoint of our guidance for 2012. The percentages that are shown are that of the change in net sales year-over-year. Driving the year-over-year change most notably is the full year ownership of the MH&PS segment. Price is expected to contribute about 13% of the increased sales amount with volume contributing about 25%. However, we are offsetting these is the impact of foreign exchange as mentioned before of roughly negative 18% or $225 million in negative sales pressure. On Page 12, we're providing segment specific outlook from an operating profit point of view. For Aerial Work Platforms, increased price realization and cost controls will allow us to return to 10% plus operating margins and $200 million plus in operating profit. I should point out that all of our segments include full corporate allocations of about 2% of sales and the depreciation and amortization for the segments assets. We may be different from some of our competitors in this respect. Our focus on a profitable products combined with a linear organization is expected to leave construction to operating profits of $40 million to $50 million or roughly 3% operating margin. For cranes full year benefits from cost reductions taken throughout 2011 as well as pricing actions implemented are expected to improve profitability roughly $65 million to a range of $100 million to $110 million or just over a 5% operating margin. Our MH&PS business is expected to contribute $70 million to $80 million in operating profit, but this too is appropriately burned with corporate expense and purchasing accounting adjustments the total of which is roughly $60 million in 2012. I should also note that any business combination synergies expected in the future are not in the outlook for MH&PS as we await the resolution of the nomination agreement process before we have the ability to implement changes if any. Lastly, our materials processing business, this segment is looking for a better 2012 with targeted margins in the 10% plus range delivering $70 million to $75 million in operating profit. So, in summary on Page 13, I think you'll see that our plan for 2012 is to improve margins. We'll pursue margin and increased cash flow performance over sales growth. If profitable growth is there to be added we'll position ourselves to take advantage of those opportunities, however, it would be premature to have lofty sales targets without first improving and pushing to achieve approximately $500 million in free cash flow. We'll of course, continue to work toward domination and integration of the Demag Cranes AG business as we gain greater operating control of this business as a result of the domination process. In summary, I think we're in a very good place looking forward. With that I will turn it over to the operator, who will open it up for your questions.
Operator: (Operator Instructions) Your first question comes from the line of Ted Grace with Susquehanna.
Ted Grace - Susquehanna: Hi guys, how are you doing?
Ronald DeFeo: Good, Ted.
Ted Grace - Susquehanna: So, the two questions I was hoping to run through with you would be on margins and it's kind of sideways because that’s where run ended. And specifically on aerials and cranes and so in the case of aerials maybe as a starting point, the slide kind of walks us through some high level details but could we just get into little more details of how you get from 5.2% operating margins to 10% to 11%, I know that there is some low margins that will happen in Latin America that will be beneficial to get off the books, and you are pointing through the 4.5% book price increase, but I just wanted to, if you could walk through kind of like little more detail, how you're thinking about price cost, what the net pricing realizations built into those numbers are and just so we can get a little more color on them?
Ronald DeFeo: Sure, I'll turn it over to Tim to comment on your second, but for perspective, Ted we ended, on Page 15 of the material that we didn’t go through, the adjusted quarterly operating profit was $29.2 million. We ended the fourth quarter which is not typically our strongest quarter in AWP at a 6.7% operating margin. I think, we've as I previously mentioned the 4.5% price increase that we took, I think that will be a primary contributor to achieving the levels of margins that we anticipate as well a little bit of the mix of the business, but Tim you know the business in more depth than I do, anything additional to add on that.
Timothy Ford: No, the only thing I would say Ron is that substantial portion of our margin improvements is going to come from price. Volume and mix are basically, are going to go sideways if you will in terms of plus or minus and we do expect to get some improvement from cost, particularly as we hold costs flat and get leverage off the base that we have, that’s really, I think those are really the points to make in terms of the margin increase.
Ted Grace - Susquehanna: Tim, is there any chance you could just talk to how the price increase is to be going in aerial so far and then also what your thoughts are on steel prices for 2012?
Timothy Ford: I would say Ted that we've pretty successful getting the price increase implemented in virtually all markets around the world, we've had obviously some customers push back but with very few instances have we lost business because of the price increase, there have been cases where we have played poker with our customers and ultimately we fund the resolution, but I'm very, very confident in the 4.5% number that Ron and Phil talked about earlier, very confident.
Ted Grace - Susquehanna: And then on the steel cost side?
Timothy Ford: With respect to steel costs, they started to flatten in about November and we actually think there, I think we have in our plan for 2012 is a pretty good look at where we are. I don’t think we expect to see any cost increases this year, we really start to go flatten in the fourth quarter and they're holding about where we were.
Ted Grace - Susquehanna: And then, Ron or Kevin if we could just go to the same items for cranes that will be terrific?
Ronald DeFeo: Okay, I think what I'll do is, I'll pass it off to Kevin Bradley on the crane topic.
Kevin Bradley: Yeah, so for us its little bit different Ted. We're much more on the cost side, so as you know, we've taken fairly aggressive cost takeout actions throughout 2011 and so the biggest contributor to our increase in margin is the cost and maintaining our discipline around meeting our cost structure. At the same time I would say, we're taking pricing action, would not expect to see across the board pricing action it varies by product and by region and I would say our focus is more on a tax and the variation in price especially at the low end. So, it's not doing transactions but on acceptable price.
Ronald DeFeo: For perspective Ted, if you on Page 15 again, the fourth quarter cranes margin has adjusted this $27 million or -- operating margins 4.5% a good amount of restructuring activity took place in the fourth quarter, we were successful working with the works council at our German factory and reducing headcount for a workforce on a performance basis, it was more expensive, it cost us somewhere in the range of $6 million. But, we really did get a cooperative effort from the works council and got at a lot of productivity issue at that factory. For reference, this is the segment that we closed (inaudible) we closed the Wilmington factory, we changed dramatically the SG&A in our German operations and so we've done a lot of good cost work in 2011 to position us here. We got a little bit more to do, we've got a China operations that is a little bit of an anchor for us, but we don’t have that completely solved, but we're hopeful that sometime this year will get that resolved and that will be a further uplift to our margins.
Ted Grace - Susquehanna: And so, if we just think about kind of the incremental benefit as a cost savings that carried over in 2012, can you just, maybe just order a magnitude with that, that might look like?
Ronald DeFeo: I think what we've said in a conference call or two ago was that we'll have achieved about half of the cost savings in 2011 and about half in 2012 and order magnitude that’s in the $30 million to $35 million effect in 2012. So, total of about $70 million to $75 million splitting that in half that’s about where I think we are.
Ted Grace - Susquehanna: Terrific that’s really helpful guys. Best of luck this year, congratulations.
Ronald DeFeo: Great.
Operator: Your next question comes from the line of Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs: Good morning.
Ronald DeFeo: Hi, Jerry.
Jerry Revich - Goldman Sachs: Ron, can you rank order for us which businesses you expect to deliver those highest price increases this year relative to the total company guidance sounds like aerials is at the top, but I'm wondering if you could give us some more context and same question on the material side, what's the range of inflation you're expecting and how does that vary by business?
Ronald DeFeo: I'll do my best Jerry, it’s a good question and its one that there is a lot of pulse and takes as you look at all the businesses. But, you're correct in saying, I think the number one business from a price improvement point of view is our aerials business, but I think its important to emphasize this was also one of our number businesses from a price material ration point of view at the downturn, this is a business that went from the Penthouse to the Outhouse in an industry, I think now that we're kind of getting back to the normal living room, I think, this is what business that’s getting its pricing back and kind of getting its more job back a little bit and I think its got a good balance with the customer base. So, number one is probably the AWP piece. Second one is our construction business and while construction seems hard to understand for many, we made a couple of tough choices in 2011, we actually withdrew from the few markets and that will have a net positive pricing effect or cost effect actually both ways because in some markets, we just won't going to be positioned to be successful and we went to the markets now where we think we got a chance to make money. Our road building business in particular we took a pretty significant cost reduction on that will reduce the amount of losses that we had from that area. So that one has got a pretty good upside in terms of change. I think we recover our material cost increases in all other businesses and -- I'm sorry, Phil
Phillip Widman: General cost inflation, we talked about as a couple of point on material, but it does vary by segment percentage point.
Jerry Revich - Goldman Sachs: So, Phil can you explain a little bit on that last point, which one there is going to be at the high end?
Phillip Widman: No, it really doesn’t go any up, much higher than two, but there are some that have less closer to zero in terms of the cost reduction programs as we go through, but it's not really like there is a 5% are out there. It's about 2% overall and then doesn’t vary much from there something like that.
Ronald DeFeo: If I had a little color to that I would say in 2011, Aerial Work Platforms had some of the highest increases in material cost in part because of steel, okay. So, now the steel is flat and down a little bit and we don’t expect it to spike that’s all baked into our base cost structure. So, what we're getting in pricing from here should be additive.
Jerry Revich - Goldman Sachs: And Ron can you say more about the point you're making construction perhaps bridge forward as the $60 million improvement that you're expecting from '11 in EBIT and just tell us how much of that is exiting product lines or markets and other factors?
Ronald DeFeo: I'm going to let the guy who did all the hard work to answer the question. George Ellis, because I think this is an opportunity for the company, its not a plan done, but I think a lot of hard work has been done, George, why don’t you just kind of comment on that.
George Ellis: Thanks Jerry for the question. We had to just look at the markets around the world within the construction businesses and make decisions and we chose to pullout of the certain markets as Ron mentioned that were struggling from a penetration and also from leverage on price, but at the same time, we also looked at the operational side of the business to really get after where the markets are down, we took the cost out of the business while the markets are down and the term we used mark ball some of the lines our activity and at the same time we're working on redesigning and developing the products. So, when the markets do come back particularly North America, specifically on the road building side, we've really tried to focus on getting ourselves positioned when the market does come back. Also, we've had a really tough year last year specifically in road building in Brazil where there were a lot of governmental issues and financing issues and I spent a week there last week and actually saw significant improvement. There is a pent up demand, we've a very good position with only a few competitors with strong pricing and I see that turning around in 2012, which will be a positive instead of a negative drag on it. So, it’s a very mixed bag but we've made some tough decisions candidly, we're not going to chase all the deals, we're not going to go tell the market places where everybody is on it and everybody is cutting price just to get the volume, that’s not our focus. It's more strategic, more of a niche products, we're weak in making money and we don’t care for beg, we just want to make money and generate cash.
Ronald DeFeo: So, let me give you a number. SG&A year-over-year in the construction business is going to be reduced somewhere in the $25 million to $30 million range. So that half of the differential is cost that’s already been taken out, okay? And the other portion will come from pricing. So that’s the focus, we took the cost out already, took levels out, there is two or three levels in the organization that are gone, and then, we took markets and pricing will come.
Jerry Revich - Goldman Sachs: Perfect, thank you.
Operator: Your next question comes from the line of Ann Duignan with JP Morgan.
Ann Duignan - JP Morgan: Hi, good morning guys, I'm not sure I've any questions left after all event. Maybe Ron or any of the business managers, maybe you could talk about, we're sitting here in the middle of February, what does the environment look like out there today versus maybe a year ago, and then particularly I would like to get some insights on what you're seeing from the fundamentals in China versus your JV which you're struggling to deal with?
Ronald DeFeo: Okay. Well, two questions there are Ann that I'll try to bifurcate and then address both of them. First, the early part of the year in our business is always sort of a slowest period. So, the start, the first quarter for us will probably be one of our weakest quarters of the year for sure. But, clearly much better this year than last year and the tone among our customers is more positive and broadly speaking I think the economic environment is one of we've been down a long time, we're recovering, its not rapid growth, its planned solid growth that’s a North America kind of attitude, but it also is same in Latin America, the same in the Middle East, the same in Russia. So, there is generally speaking an overall positive attitude, I think it strengthens kind of through the year, but generally speaking its feels much better today than 12 months ago. China is the interesting market to try and handicap. Clearly there is a lot of cross comments taking place, there is no doubt in my mind that the Chinese economy is the long term growth economy in infrastructure related projects for the next 20 years. However, the competitive environment in China is pretty brew and so you have to pick your spots if you're a company like Terex and you have to figure where your value adds are and concentrate on them. And for us, we've got some particular advantages and some particular disadvantages. A particular advantage for us is our 20 plus year old joint venture and dump trucks. A third of our European production goes to China right now in our dump truck business. We're a major supplier and the number one dump truck manufacturer even though we're only a 25% equity holder of the North Polar joint venture. So that’s a pretty important and longstanding JV. And in JV we continue to invest in and reinforce. On the flip side of that we have a five year old JV in truck trains probably the most competitive market in China and we've had a joint venture partner that has not had the same mutuality of interest as we've had and it is our view that we're close to changing that joint venture partner and should be in a position to reduce our position from 50% owner to something less than that but that’s not a completed transaction at this stage. So, in doing that we'll probably get a JV partner that’s much more collaborative, much more forward, with a much greater forward view and committed to kind of grow the business. So that’s kind of the book ends and we've got a bunch of stuff in between with a new joint venture in our materials processing business and a new factory making crawler cranes that’s just beginning where we have 65% of that business. So, I think you got to pick your spots if you're manufacturer of our size in China. The bigger manufacturers is game on, is local versus global and from my point of view stay the hell out of the way and pick your spots and see if you can pick all of profitable business.
Ann Duignan - JP Morgan: On the interest turn, but outside, I'll leave it at that and take my other questions offline, thanks. I appreciate the insight.
Operator: Your next question comes from the line of David Raso with ISI Group.
David Raso - ISI Group: Hi, good morning. My questions on something Ron would probably even talk about and really eight, nine years but early to lot of the stocks and that kind of 02, 03, 04 period, Terex as a bit of a deleveraging story. So, trying to get my arms around this cash flow number you put out there, the $500 million, if you look at the way you calculate the cash flow, with a EBIT of $500 million, DNA is about $150 million what are you assuming for a working capital year-over-year change for 2012?
Phillip Widman: David, its Phil. In the outlook we indicated 25% of working capital for sales in the year which would give you a couple of hundred million potential improvements from a cash standpoint. The way we categorize that free cash flow calculation and it doesn’t include changes outside of working capital. So, when we talk about the tax payment that we have in the first quarter for example of $160 million to $180 million that wouldn’t be in that number. So, you've take that up first the regular cash taxes which would approximate the tax expense, we'd also not be in there. But, what isn’t there, if you got a $140 million of CapEx and if you add up that math there is probably some additional opportunity beyond the $500 million but in terms of the target at this stage, we just said greater than $500 million.
Ronald DeFeo: So, Phil answered the question answered from a technical point of view and a detailed point of view. I'll answer the question from a more strategic point of view. To me one of the real untapped opportunities for us is to de-lever our balance sheet by successfully integrating material handling and port solutions of Demag Cranes and by capturing a substantial amount of cash on the upside of recovering end market. And if I look forward for two to three years, I think this is the huge opportunity because I believe we're valued more on an enterprise value to EBITDA basis and we're on a PE basis. And to the extent that we can reduce the gross debt of $2.3 billion dramatically I think that moves directly to the equity column and frankly I've got a lot of reasons to blunt that equity price to go on.
David Raso - ISI Group: So that’s summary, I can move in 02, 04 that was big deal for the stock outside the cyclical recovery, we're looking at EBIT 500, DNA about 150, so you're at 650, but then I have about $150 million of cash taxes, 160 on BC payment, and 140 CapEx. So, in a cleaner number so that 235 is, which would still be over a 100% conversion on the implied net income of around 200?
Ronald DeFeo: What you had missed, I think was cash taxes on the base.
David Raso - ISI Group: I did, I want it seen, right. Again, you're still looking for over a 100% cash conversion in '12, that’s how we should be thinking about it?
Ronald DeFeo: That’s right. And the other comment I had mentioned David on the debt side, we do have our 8% notes that are callable in November of this year and our 10 and 7 8s are callable in the second quarter of 2013. So, we're going to be looking at the debt movement and we do have to fund the acquisition of the remainder of Demag Cranes which depending on how the domination agreement works out that could be in couple of hundred million dollar range as well.
David Raso - ISI Group: That’s helpful, I appreciate it, thank you.
Operator: Your next question comes from the line of Sean Williams with BB&C Capital Markets.
Sean Williams - BB&C Capital Markets: Hi, good morning.
Ronald DeFeo: Good morning, Sean.
Sean Williams - BB&C Capital Markets: I just wanted to maybe look a little bit further out, maybe this is unusual question given that you're just kind of digesting Demag at this point. What I mean, as you further out down the road maybe in the 2013 and 2014, where do we see the product portfolio that Terex is heading, are there additional acquisitions you would like to do within that material handling unit, is there restructuring to be had within, further restructuring to be had within construction. I wonder if we can just pick a long term perspective and maybe talk about where we would like to do more acquisitions kind of down the road?
Ronald DeFeo: Okay. I think the best way I can answer that question is, we're going to keep our head down in 2012 focused on operation or margin improvement and maybe towards the end of the year look back up and see if and when there are any opportunities out there for the future because our ability to actually do acquisitions and additional growth is very much dependant upon our ability to do what we have in front of us right now. So that’s kind of a table setting comment are realize and it maybe hard for people to believe from the guide that’s done over 50 acquisitions in his carrier but frankly that’s we wanted a fairly large transaction to replace our mining business, we were able to secure that. It’s a good diversification for us, it’s a good business with a great services profile and we're going to work on that. I think that will drive a lot of common improvements within Terex of a services business, the port side integration and working on the industrial crane business. There maybe acquisitions to add on the Demag Cranes business down the road, but I don’t think there is anything that has to be done, certainly not to nothing that has to be done of size. With regard to construction, I think our construction business is at a place where again similar to the overall company, prove it out, achieve the 3% operating margin and frankly it’s a business that will improve when housing improves and the US starts to spend some money on road building. And, I think, it would be foolish for us to try and do anything prematurely as long as those businesses we've got into place that aren’t really draining much capital or cash from us. So, I think, our history has been to try and make a substantial acquisition, harvest the value that’s in that acquisition and then look back around and see what else is out there in the years forward. It certainly is my expectation in 2013, 2014 with a strong balance sheet and a company that’s driven to have improved its equity performance that we will look and see what opportunities are there that will be accretive, oaky. But, first thing is kind of first here, so I hope Sean that helps.
Sean Williams - BB&C Capital Markets: Yeah, I appreciate the color. And then maybe just the segway looking at the opportunity that you have at Demag, you had maybe a little bit more time since the closure to get in there and look through the book a little bit, work with management over there, can you talk, maybe you're not going to put a number to it. But can you talk about some of the opportunities that you've recognized in terms of what may eventually evolve in terms of synergies or additional profitability enhancement there?
Ronald DeFeo: Well, everything that we do relative to Demag Cranes AG will add value to Demag Cranes AG and not take value away from it. But, really it's hard to say concretely at this stage. I think the one thing that has changed is the overall end market view looking out several years is probably less positive today because of the European economic concerns then it might have been a few months. But barring that overhang which we think is a pretty substantial overhang, we think there is combination value in the services business and material purchasing and in manufacturing processes and manufacturing locations. And so, those are things that we're going to work that are pretty much similar, well, they are identical to the reasons why we bought the business along with the diversification of the industrial crane business. I think, we suffered at the end of 2011 from a big market concern that we bought a European business at the wrong time. I don’t really agree with that, I think we bought it at the right time because I think there is much upside in the business in particular when owned by Terex then there might have been if there hadn’t been.
Sean Williams - BB&C Capital Markets: Okay, thanks, I appreciate the update guys.
Operator: Your next question comes from the line of Seth Weber with RBC Capital Markets.
Seth Weber - RBC Capital Markets: Hi, good morning guys. I guess first just a clarification, I mean, I was under the impression that you pushed through a 4.5% price increase in aerials mid year 2011, its seems like that’s not really showing up in the 2012 numbers, does that just not get accepted or can you talk about that?
Ronald DeFeo: I think we pushed it through, I think, you got to understand from where we started and the amount of raw material and material cost increases that we have. I'm happy with the 6.7% in our adjusted fourth quarter margin, but I wasn’t very happy with the margins that we were delivering in the third quarter or even the second quarter and so I think, that was a function of really where the market is. Now having said that, you can only take up your price to so such relative to your competition, I think our competition reported a margin that was dramatically below where our fourth quarter margin is. So, I think we're in the right path here and I think we're showing pricing leadership. Now, Tim you may want to add to that but I feel very strongly that Tim's has gotten two price increases.
Timothy Ford: To be clear Seth, we did in fact for the price increase in place that was implemented mid year around the same margin level or the same rate, 4.5%. If you look at our fourth quarter results, I'm not going to give you a number, but we had a substantial impact from the price increase in our fourth quarter results and that’s carrying through the 4.5% that we're talking about here is in fact, the second price increase that went into place in January. As Ron said, we're really trying to recover the material cost increases, so some of the impact of those two increases has been absorbed or enough by the material cost increases we faced in the 2011 time period.
Seth Weber - RBC Capital Markets: Sure. So, the first half of 2012 then could jeopardize pricing increases of somewhere between 4.5% and 9% then?
Timothy Ford: No, no, no. I think it will give a little bit optimistic to think when we get 9%, when we talk about a price increase, we're talking about a number employment of price, so it could be in the way we value a trade. It could be how much we're willing to give somebody on a trade. It could be in the marketing allowances that they get or the churns that they receive. So, we're looking at this on a complete pricing model, not necessarily on the absolute dollars on the unit.
Seth Weber - RBC Capital Markets: Okay that’s helpful thanks. And I guess, just a follow up question on the aerial revenue target for the year, the $2 billion, can you just talk about your confidence getting to that number your backlog today is at 635, your bookings number seemed like it tick down a little bit sequentially 3Q to 4Q and I would have thought given that price in January you might have done some year end bookings, maybe Tim can you give us some color if the booking is accelerated in January, first quarter is usually strong bookings quarter, is that kind of a trend that you're expecting or do have purchase orders in hand for later this year, just kind of how we're comfortable to $2 billion number?
Timothy Ford: First of all, I'm pretty comfortable to the $2 billion number. If you look around the world, we've two very good markets today. The US is strong and Australia is strong. We've two markets that are characterized as uncertain Europe and Latin America and then the rest of Asia, China as Ken's knows are doing okay, but not materially going to change or move the needle. The other thing I would say that’s out there, it’s a little bit of question is what is the effect of the URI and RSC combination going to have on the purchases of those two companies. So, I think there is a little bit of reluctance to put a big revenue number out there, but we feel pretty confident that we're going to get to the $2 billion number. Again, this is a range that we've got here. So, it could be little higher, little lower, but I think that number is a pretty, I feel pretty good about that.
Seth Weber - RBC Capital Markets: So, you think that first quarter bookings will be above fourth quarter then?
Timothy Ford: I would expect they will have a good first half and see how the year plays out.
Seth Weber - RBC Capital Markets: Okay, thanks very much guys.
Operator: Your next question comes from the line of Robert McCarthy with Robert W. Baird.
Robert McCarthy - Robert W. Baird and Company, Inc.: Hi, good morning everybody. Actually I wanted to follow up on something as long as we're talking about AWP that Tim mentioned earlier when you were talking about margin outlook for the business, you said something that was very interesting there wouldn’t basically be any volume leverage and I wondered what is changing within the business that would eliminate the positive impact of 10% to 15% growth?
Ronald DeFeo: I don’t think he said there wouldn’t be any volume leverage. There is not a lot of increased volume so that work was side ways were to muse.
Timothy Ford: Let me try and clarify. The question I was asked was the impact of margins, how we get it from, where we were to where we are projecting and what I was inspiring was the impact of the volume on the margin increase is relatively modest plus or minus, but relatively modest, relative to the impact of other things. I did say that we will get a let adjust to cost base whilst from an SG&A and from an incremental infraction standpoint. So, when I look at volume, I'm never thinking are we getting a better mix, a better geographic spread that sort of thing and how does that effect you. So, I might have mislead you a little bit there, but we'll get some benefit from the fact.
Robert McCarthy - Robert W. Baird and Company, Inc.: I appreciate the clarification. The question I really wanted to ask you Ron is surrounds Demag, I think there was at least some surprise that when they reported their results last week that their guidance, they maintained their guidance unchanged for the year and just naturally in my mind raised the question, what role do you play, how much consultation is there with you as regards what they've been saying publicly or are you still in position where, you're not supposed to be coordinating. Its just not clear to me whether what they did had your involvement?
Ronald DeFeo: Well, I saw the press release after the market saw the press release. So, I had no involvement and that they're publicly traded company and the management made its own decisions, and right now I am an 82% shareholder that needs to consolidate. So, I've access to their information and participation, but I'm not directing traffic and their announcement was driven by themselves independently.
Robert McCarthy - Robert W. Baird and Company, Inc.: But incorporated by you into your guidance.
Ronald DeFeo: It's incorporated, yes. Their business plan is incorporated into ours, adjusted to US GAAP.
Robert McCarthy - Robert W. Baird and Company, Inc.: And so, can we get some kind of vote of confidence from you about that unchanged outlook or do you prefer to defer given that you still have an arms length relationship?
Ronald DeFeo: Well, there is a little element of complexity here and that complexity is involved to make sure that we protect the rights of the minority shareholders, okay. Having said that, I believe the management teams on its gain working hard, got the right views and participates with us, okay. I as Ron, who is the CEO of the business is a member of the Terex management team. So, while the financial results are reviewed and produced independently he is participating with us and I have a lot of confidence in him and the team. But, I'm not confident on what the numbers are, he is managing that aspect of the business until we complete the domination agreement. I think as I stated in my remarks that there maybe additional opportunities following the domination agreement to seek a business combination. We do have a business combination agreement that was negotiated as part of the acquisition so that’s what we will focus on.
Robert McCarthy - Robert W. Baird and Company, Inc.: Okay, thank you Ron.
Operator: Your next question comes from the line of Charlie Brady with BMO Capital Markets.
Charles Brady - BMO Capital Markets: Thanks, good morning guys.
Ronald DeFeo: Good morning, Charlie.
Charles Brady - BMO Capital Markets: I just want to comment the AWP price increase from a different angle just to make sure we're clear on it. When would you expect to realize the second price increase of 4.5% sometime second, third quarter?
Timothy Ford: 45 days ago.
Ronald DeFeo: Charlie, the way I would see at is, let's look from where we started, okay. 18 months ago we were producing, I don’t remember the number exactly but not much margin, okay. Not much margin and we had a business that was fairly flat in line and we had material cost increases that were going up pretty rapidly, particularly steel. So, in taking two price increases progressively, and this is important because this is why I said that the margins went down on the last downturn and pricing went down on the last downturn. And so, we took two price increases and I think the first one was to help us offset the material cost increases that we had and the second one is to begin to recapture the level of margin we think is appropriate for the business plus please remember we increased the business by nearly 17% in 2011. So, there clearly was some volume leverage in 2011. So, those things contribute to getting our margin where it is and helping us get our margin to where it's going to be.
Charles Brady - BMO Capital Markets: Right, Ron, I get the plans, just want to clarify, something was ordered say in December of '11 that obviously did not reflect January 1 price increase, correct or is it the fact that its based on when the products were shipped and not when it was ordered before January 1?
Timothy Ford: When it's shipped.
Ronald DeFeo: And the other thing I would point out Charlie is that the mix of the customer base does impact the margins in the period. So, if we get a greater mix of one customer type then another or one product type then another in a particular quarter or in a particular product, it impacts our margin. Because not all of our products had the same margin as not all of our customers have the same margins as others.
Charles Brady - BMO Capital Markets: Right. My second question is on the crane business and kind of your sales guidance into '12, I'm getting little crazy, North America strong, Australia strong, Latin America strong, Europe soft, I'm surprised that maybe given those commentary why the outlook for revenues in crane isn’t a bit better. Is it a function that Europe such a larger percent of the business and you have the port business kind of tied into that that’s kind of offsetting all these strengthen in some of those larger markets?
Ronald DeFeo: I think we're just strong to build a better business here. I mean, I think our view is that in 2012, it's less about growth and more about driving margins and returns on capital. And Kevin you have anything, you want to add to that.
Kevin Bradley: I think that’s right, Ron. Europe, its important to point out that if you go back ways Europe was absolutely the most significant portion of our sales. So, being soft in Europe is many more meaningful than being strong in Australia. That said, we've have seen, where we've seen some opportunities in Europe to be honest that most of them we think are feeding with large players who have global fleets, feeding and developing market. So, we see strength, we also see strength in the Middle East. But, China is fairly soft right now, and Europe being soft is a fairly material statement for us.
Ronald DeFeo: But historically Kevin, we would also have a little bit more aggressive pricing attitude with some of the bigger European crane companies and what we're trying to do today is be more disciplined in our price and sales approach and I think that has an impact on our attitude relative to volume.
Kevin Bradley: That’s right.
Charles Brady - BMO Capital Markets: Thanks.
Operator: Your next question comes from the line of (Andy Cappleworth) with Barclays Capital.
Unidentified Participant: Good morning everyone.
Ronald DeFeo: Good morning.
Unidentified Participant: Ron, could you talk about maybe the change in tone in your material processing business last quarter you had mentioned that you're watching mobile crushing and this quarter it sounds like your dealers are more optimistic on that business and in mining in general?
Ronald DeFeo: Sure. I think, I'll just let Kieran Hegarty comment on that. Kieran?
Kieran Hegarty: Yeah, I think in last quarter the uncertainty around Europe, obviously Europe still makes up, Western Europe still makes up about 30% of MP revenue so I think the quarter for them certainly was primarily driven there. The change that to the America like dealer trying to roll America getting great positive, Europe is still patchy, but it seems to be completely country story some companies rather be positive some not. And then, obviously continued when Ron talks about the remaining strength that’s in markets, we're seeing some strength over the last number of years and produce larger products, but small remains are in more applicable and more used to them. So, generally the positive steps are way to comment on those markets is somewhat product driven as well and in terms of the savings we made. So again, one of the other things important, we obviously go to market where they are party distributors and we actually look inventory, it actually hit a historically low levels once the things positive.
Ronald DeFeo: Good, thank you Kieran.
Unidentified Participant: That’s helpful. I mean, just like to act AWP for one second, this is for Ron or Tim, I'm going to take a previous question from the officer point of view, I mean, it seems like with backlog doubling again in price increasing affecting in 2012, that maybe a guidance is a bit conservative, I know Tim what you said, not that you're in Latin America but that you sort of reserving for those end markets, the uncertainty in those end markets when you give us this guidance?
Ronald DeFeo: Go ahead, Tim.
Timothy Ford: As Ron has said and I think our guidance reflects our objective is to get the double digit profitability, if not revenue growth, we're going to go after the business that’s out there that’s good quality and we left the competitor have the order where prices are attainable or where they are willing to take it lower pricing. I think markets are healthy but there are some things out there that do need you to want out or little bit more of a balanced view on what the prospects look like and we want to make sure that we're delivering the kind of return on sales that you would expect in this business. So, I think, is conservative one might look at it and say it might be. But, our objective is to get to double digit profitability and make sure that the business we have is very sound from which to grow.
Unidentified Participant: Thank you that’s helpful guys.
Operator: Your next question comes from the line of Andy Casey with Wells Fargo Securities.
Andrew Casey - Wells Fargo Securities, LLC: Good morning everybody thanks for all the details so far. Kind of a summary question given a lots being asked and answered, I'm trying tie the backlog trends to your 2012 emphasis internal margin improvement or cash flow improvement and whether we should guidance to be more heavily weighted to the second half given the seasonality of Q1?
Ronald DeFeo: I think that’s a very fair comment. I think, historically Terex was pretty balanced first half, second half, but with the addition of material handling and port solutions by far it's strongest quarter is the third quarter and one of the weaker quarters for Terex historically was the third quarter. So, it does change the way our earnings profile will calendarize and I think it does matter. Our third quarter has been historically the Demag Cranes AG's fourth quarter and because it's in the industrial crane business, many factories take a summer shutdown and during the summer shutdown the overhead cranes in those factories get repaired which is why their fourth quarter is their strongest quarter or our third quarter. So that impacts calendarization Andy.
Andrew Casey - Wells Fargo Securities, LLC: Okay, thanks Ron. Just a follow up on that for Demag specifically in, kind of the reports have gone from bullish to still bullish but a little less, so does your guidance expect the second half of '12 calendar ex the acquisition expenses to exceed what they did in '11?
Ronald DeFeo: I don’t Phil, can you answer that question.
Phillip Widman: From a contribution to EPS?
Andrew Casey - Wells Fargo Securities, LLC: Yes.
Phillip Widman: Remember in the third and fourth quarter we have the amortization and the inventory step up in '11 that’s gone now. That alone plus their performance should be a little better year-over-year.
Ronald DeFeo: I think their performance year-over-year is trending northward, but we've taken basically their plan and integrated to us and US GAAP. So, it's not likely taken their plan and added to it or taken anything away, it's basically an integration of their plan. Of course, we've to add one additional quarter, which was the next quarter of their three year plan.
Andrew Casey - Wells Fargo Securities, LLC: Okay, thanks. And then, one last one on the European crane commentary about the pricing is that at all related to increased price competition from new entrance?
Ronald DeFeo: No, not at all. I mean, we talk a lot about and get a lot of questions about potential new entrance from Asia based sources but that’s really not included and nor do we expect much.
Andrew Casey - Wells Fargo Securities, LLC: Okay, thank you very much.
Operator: Your next question comes the line of Alex Blanton with Clear Harbor Asset Management.
Alex Blanton – Clear Harbor Asset Management: Hi good morning.
Ronald DeFeo: Hello Alex.
Alex Blanton – Clear Harbor Asset Management: I would like to go back once again to the question of the guidance on AWP segment. There have been a couple of questions on that in both directions and mine is directed at why are you looking for virtually flat sales year-over-year, because if you subtract the current price increase plus half of last year's price increase from the volume increase that’s guided to, the range is at the bottom 2.5%, at the top 10.6% increase in sales excluding those two price increases. And, meanwhile we have United Rentals for example saying that they're going to spend 29% more now, I realize they haven’t broken that down into aerials and in the dirt equipment. But, you're getting more sales from the independents and possibly much bigger orders from the bigger rental companies, is Europe really going to be so weak that it offsets all that, I mean there is a big replacement market out there that these are free serials, pretty old and it seems to me that the replacement market alone could support some sales in Europe?
Ronald DeFeo: Alex, we could worth ourselves up into a theory about how exciting the revenue trends are going to be for Aerial Work Platforms. If you look at the Ross reports, if you look at all those reports there is huge quantities of fleets that will need to be replaced. We could do that and we've got a strong franchise where in many other product lines, we're number one, we're clearly number two across many others. And we're probably got a better margin business than our number one competitor. So, we could kind of whip ourselves up into our revenue theory. But, I remember what our customers once said to me and they said, revenue is for vanity, profits is for sanity and cash flow is reality. And that’s what we're going to run Terex on in 2012, so, just to be completely clear. Now, if we get that margin and the revenues there and our customers want to pay fair value for the equipment and if this fair value equipment that they're going to get a good return on that they got high replacement rates, high residual values and high rental rates are more than happy to sell their product at a fair price.
Alex Blanton – Clear Harbor Asset Management: Well, it sounds to me like there is some price competition going on because, you're saying you're not going to take anything but profitable business and that implies and your competitors is trying to grab some market share by reducing price?
Ronald DeFeo: Not necessarily, not necessarily. You have to just kind of let the year play out, Alex.
Alex Blanton – Clear Harbor Asset Management: You really don’t know. Follow up is, could you breakdown the outlook in aerials a little bit more for example by product line, like boom scissors, tele-hammers other and geographic, well you have done geographically already but by product line?
Ronald DeFeo: Ken you want to comment on that.
Kevin Bradley: Yeah, I don’t expect the share to be materially any different then it has been in the past, if you look only at the aerial portion so excluding utilities, which is a meaningful part of our business. Booms has historically been half of the revenue and I think it will have the consistent so there is 20% of revenue, tele-hammers kind of in the 10 and 15 and the rest is you can enough in itself. I think that’s approximately how we will shake out, but you got to keep the utility piece out of that.
Alex Blanton – Clear Harbor Asset Management: How much utilities of the total of the segment?
Kevin Bradley: We don’t break that out separately.
Alex Blanton – Clear Harbor Asset Management: Well, there is a meaningful part.
Ronald DeFeo: That maybe 20%, but did you ask the other guys how much Jerry Dan and all those other products are?
Alex Blanton – Clear Harbor Asset Management: Jerry Dan is small, MAQ they do break that out in the footnote. So, you can take that out at least they break sales part not the earnings part and they give you an idea of it. So, utilities are that flat, that can be in the rest, is up a little bit more than you're saying?
Ronald DeFeo: It could.
Alex Blanton – Clear Harbor Asset Management: Okay, thank you.
Operator: Your next question comes from the line of Joel Tiss with Buckingham Research.
Joel Tiss - Buckingham Research Group Inc.: Hi, almost my whole lists of 26 questions have been answered. Two things one if you do the free cash flow calculation from your free cash flow statement you have $19 million of operating minus $79 million of CapEx can you bridge the gap there, what am I missing between your that and your $168 million?
Ronald DeFeo: The glossary in the press release has the table, Joel, I will just put that here. Page 16 in the press release, they got income from also 32 we've DNA of 37, we had an asset impairment which is non cash. You see it in the press release.
Joel Tiss - Buckingham Research Group Inc.: Yeah, okay. And then, any Tier 4 impact in '12?
Ronald DeFeo: Yeah, we're in the middle of that conversion across the whole range of things. I would say, it's definitely an impact but it's embedded in our guidance. And I would hope that one of the real opportunities is improving working capital I can tell you that my construction leader over here has, he has come long in engines and expects to be able to reduce them over the course 2012 and so I think we'll see some inventory reduction in engines. The other segments maybe aren’t quite as significantly impacted as George is in construction. But, nothing that I would say is that material.
Joel Tiss - Buckingham Research Group Inc.: Okay, all right thank you very much.
Operator: Your next question comes from the line of Matt Vittorioso with Barclays Capital.
Matt Vittorioso – Barclays Capital: Good morning and thanks for sticking with us here. I guess Phil if I could just ask you about the Terex Financial Services, how much do you expect to invest in that in 2012 and maybe just from a high level, what are you guys doing to make sure that you don’t put too much risk on your balance sheet as you help financial customers business?
Phillip Widman: That’s a good question, Matt, because we're about mid year '11 will be acquisition of Demag Cranes, we kind of shifted our approach on financial services because we have multi opportunities here, we can take some on the balance sheet, we can work with partners to offload that and we look that balancing the portfolio to keep pretty flat in terms of what we had invested. In the US it's about $140 million, and so since the middle of the last year, we pretty much held that flat with selling more of our deals upfront and also looking to sell some of the existing portfolio that we had. So, we use that to kind of balance the cash flow investment in terms of where we're going. So, we’ll continue to do that into 2012, we've established a financial service capability in China to fill some gaps there, but I would expect that would be a huge material change. We all have modest growth I would say in the $50 million range overall this year would be in the plan expectation.
Ronald DeFeo: And if you look at our delinquencies they're virtually non-existent in the financial services, we've done very well to manage through the downturn and going to see the very add in the long term of the space that we're in.
Matt Vittorioso – Barclays Capital: Okay, great that’s helpful. And then, just lastly, you talked about generating cash in 2012 and focused on deleveraging the business, I mean should we look at your outstanding unsecured bonds as essentially just looking to the next call, I mean, those 8% bonds callable later this year, would that be sort of the first thing you look to address as you look to pay down debt.
Ronald DeFeo: Not necessarily, Matt. But, I'm not going to indicate which specific ones but we're going to put that plan together. We have to take into consideration, we've to replace the Demag Cranes existing credit facility when the domination agreement becomes effective and also the dollars associated with buying out the minority. So that’s going to play into factor timing in which debt structure that we have. We are less than 3.75 from a net debt, leverage standpoint as of the end of '11 so it gives us a little more flexibility in terms of our debt situation as well. But more to come, I guess, on that one.
Matt Vittorioso – Barclays Capital: That’s fair. Any advertise to buyback shares in 2012?
Ronald DeFeo: We wouldn’t comment on that, I don’t want to comment or speculate, that’s the probably most prudent thing to do.
Matt Vittorioso – Barclays Capital: Okay, thank you.
Operator: Your next question comes from the line of Brian Rayle with Northcoast Research.
Brian Rayle - Northcoast Research: Good morning. Most of my question obviously have been answered, historically you guys have put out longer terms goals in terms of revenue targets by a certain date, obviously there has been a lot of changes at least in the construction, and material handling businesses, would it be possible to go through I guess slide 10, and not necessarily to 2012 outlook, but say your peak outlook or three year outlook of what you think that revenue could be over a long period of time?
Ronald DeFeo: I want to be careful here because, we have some information that’s in the marketplace already and I just don’t have it at my fingertips to be able to pull it up. But, we don’t have is material handling and port solutions on a two to three view. What I would say is, we probably see the longer term view fairly unchanged from what we have previously said, but may not exactly in the same year, could be a year later or so. The material handling and port solutions until we get a better sense of the integration, the opportunities for share for some things that we're working on, I don’t want to go too deep on that.
Brian Rayle - Northcoast Research: Okay, Phil but for the other segments, your previously stated guidance hasn’t changed in any way?
Phillip Widman: But, I wouldn’t say it was guidance, I would say it was the opportunity that we viewed in the segment; I would say that opportunity remains the same. I wouldn’t necessarily say it's in 2013, because we're looking at a market environment where Europe is not what we thought it was going to be. But I still think the potential exist if it's not 2013 it certainly in the two to three year kind of timeframe. Does that help.
Brian Rayle - Northcoast Research: That’s great, thank you very much.
Operator: At this time there are no further questions. Mr. DeFeo were there any closing remarks.
Ronald DeFeo: Thank you everybody for bearing with us, it's been a long call and I hope we've answered as many and all of your questions as possible and please follow up with us if you have any additional ones. Thank you for your interest.
Operator: This concludes today's Terex Corporation's fourth quarter and year end 2011 financial results conference call. You may now disconnect.